Operator: Good afternoon. I am Julie, and I will be your conference facilitator today. I would like to welcome everyone to the Extraction Oil & Gas First Quarter 2020 Financial and Operating Results Conference Call. All lines have been placed on mute to prevent any background noise. Extraction will not be hosting a question-and-answer session today. Please be advised that the remarks today, including answers to your questions, include statements that the company believes to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently anticipated. Those risks include, among others, matters that the company described in its financial and operating results news release issued this afternoon and in its filings with the Securities and Exchange Commission. Extraction disclaims any obligation to update these forward-looking statements. While the company believes these forward-looking statements are reasonable, they are subject to factors such as commodity prices, general economic conditions, competition, technology, and environmental and regulatory compliance, the company’s drilling schedules, capital plans, and other factors that may cause its results to differ materially. I would now like to turn the call over to Louis Baltimore, Extraction’s Director of Investor Relations.
Louis Baltimore: Thank you and good afternoon to everyone. We’re glad you could join us today for our first quarter earnings call. With us today on the call, we have Matt Owens, our President and CEO and Marianella Foschi, our VP of Finance. I’d like to remind you that today’s call, in addition to the aforementioned forward-looking statements, also includes a discussion of certain non-GAAP financial measures. Please be sure to read our full disclosure on forward-looking statements and GAAP reconciliations in our earnings release and in our filing on Form 10-Q, which we provided earlier today after the close of trading. I’ll now turn over the call to Matt Owens, our President and CEO to quickly touch on the quarter and provide some additional details on our go-forward operational plan.
Matt Owens: Thanks Louis. Good afternoon everyone. Welcome to our first quarter earnings call. I'd like to quickly touch on our first quarter results and our thoughts about the future as it relates to the COVID-19 pandemic and turbulent commodity prices. Then I'll turn it over to Marianella Foschi, our VP of Finance to talk more about our liquidity position. Extraction is known for having some of the best acreage in the DJ Basin and for an operations team that uses outstanding management practices to safely develop those assets. During the first quarter, our ops team once again delivered as we successfully drilled 34 gross, 25 net wells with an average lateral length of 2.3 miles. We completed another 28 gross, 23 net wells with an average lateral length of 2.3 miles and we turn to sales 13 gross, 12 net wells with an average lateral length of 2.1 miles. On our last call, we told you about our first set of three-mile wells we turned online in Broomfield. These wells have produced at a peak 90-day rate of approximately 1,500 BOE per day with 73% being crude oil, which compares favorably with our expectations. During the first quarter, we completed and turned online another three-mile lateral in and Windsor, further demonstrating our ability to drill long laterals that access more minerals cost effectively with less surface disturbance. We have drilled three, three-mile wells and over 115 two and a half mile wells. Our ability to reliably drill and complete these longer laterals has already become a game-changer for us in areas where surface access can be more challenging. Our production average over 94,000 BOE per day during the quarter, including just over 38,500 barrels per day of crude oil. During that time, we invested $155 million of which $147 million was for D&C. This was all largely in line with our prior plans. However, the world has changed significantly since we announced our 2020 plan back in November of 2019 and our updated plans last quarter. You'll remember our most recent update was the day before the Saudi-Russia price war began. As you know, we are now operating in a commodity price environment, driven by a glut of crude supply, coupled with unprecedented demand destruction resulting from the COVID-19 pandemic. And adapting to these challenging times, we have taken the prudent and necessary steps to reduce our cost structure and capital expenditures. With respect to the low commodity price realizations expected over the next few months, our operations teams have gone well-by-well and pad-by-pad to put together a shut in strategy meant to reduce LOEs by shutting in or reducing production from pads with the lowest operating margins, while still maintaining production from our highest margin wells. Although we have not yet decided to curtail a meaningful amount of our overall production, we are monitoring the pricing situation closely and are ready to act swiftly if warranted. On the cost reduction front, we were able to reduce our AFEs by over 16% compared to our previously published well costs with further price decreases expected if the commodity downturn continues. We now expect a two-mile Niobrara to cost $4.1 million and a two-mile Codell well to cost $3.8 million. These are the lowest anticipated well costs since the company was formed in 2012. Turning to our capital plan for the remainder of the year. Due to the continued uncertainty in the commodity markets, we made the decision during the middle of April to release both our operated drilling rigs and our completion crew. Aside from possibly completing one drilled, but uncompleted pad in Greeley during the second half of the year, we are delaying further operating, drilling and completion activity until prices improved. I'll now turn it over to Marianella to discuss our financial position and liquidity.
Marianella Foschi: Thank you, Mark. We ended the first quarter with $32 million in cash on our balance sheet and $470 million drawn on our revolving credit facility after giving effect to $49.5 million of standby letters of credit, we had just under $431 million of liquidity. In late April, the lenders in our credit facility reduced the company's borrowing base by $300 million to $650 million. The threat of termination reduce available liquidity $150 million, Just for [ph] determination reduce available liquidity to just over $80 million after taking into account that 15 point draw we made earlier in the quarter to make our ad valorem tax payments. And out of an abundance of caution in these uncertain times, we threw down that remaining $80 million to hold on our balance sheet. After this draw, as of May 7th, 2020, we have $600.5 million drawn on our revolver and approximately $94 million in cash on the balance sheet. We have engaged advisors as we evaluate our strategic options in this challenging environment and we will keep you posted on any additional material development. With that, I'll turn the call over to Matt to close.
End of Q&A: Thank you, Marianella. As previously announced, we won't be hosting a Q&A today. But before we say goodbye, I want to take a moment to thank each member of the Extraction family for their hard work and dedication during these last few weeks. Our employees have worked safely and diligently managing uncertainty in our business environment, as well as in the midst of an unprecedented pandemic. I am extremely proud of our team. With that, I want to thank everyone for tuning into the call this afternoon. Have a great day.
Operator: With that, ladies and gentlemen, we thank you for participating in today's program. You may now disconnect.